Operator: Good day and welcome to the Bemis Company Hosted Third Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Erin Winters. Please go ahead, ma’am.
Erin Winters: Thank you. Good morning, everyone. Welcome to our third quarter 2015 conference call. Today is October 22, 2015. After today’s call, a replay will be available on our website, bemis.com, under the Investor Relations section. Joining me for this call today are Bemis Company’s President and Chief Executive Officer, Bill Austen, our Vice President and Chief Financial Officer, Mike Clauer and our Vice President and Controller, Jerry Krempa. Following Bill and Mike’s comments on our business and outlook we will answer any questions you have. However, in order to allow everyone an opportunity to participate, we do ask that you limit yourself to one question at a time with a related follow-up and then fall back into the queue for any additional questions. On today’s call, we will also discuss non-GAAP financial measures as we talk about our performance. Reconciliations of these non-GAAP measures to GAAP measures that we consider most comparable can be found in the press release and supplemental schedules on our website. And finally, a reminder that statements regarding future performance of the company made during this call are forward-looking and are therefore subject to certain risks and uncertainties. Actual results may differ materially from historical, expected or projected results due to a variety of factors. Please refer to Bemis Company’s regular SEC filings, including the most recently filed Form 10-K to review these risk factors. Now, I’ll turn the call over to Bill Austen.
Bill Austen: Thank you, Erin, and good morning, everyone. Bemis performed well this quarter in a slow growth and volatile currency environment. Our operations are strong and we are executing our strategy with focus, alignment, accountability and rigor. We delivered adjusted earnings of $0.67 per share, a 9.8% increase over the prior year; this in light of a $0.06 translation headwind as currencies in Latin America devalued significantly compared to one year ago. We delivered highest gross margin in many years at 21.8% driven by our recapitalization efforts focused that improving productivity and efficiency, our innovation pipeline that continues to improve the mix of the products we sell and our strong operational performance across the entire company. We increased operating profit margins in our U.S. packaging segment to 14.5%, a 120 basis point increase over the prior third quarter, reflecting great progress toward our long-term goal of 15% to 18% in this segment. We increased adjusted operating profit margins in our global packaging segment to 9.7%, a 110 basis point increase over the prior third quarter, exceeding my expectations and above pace toward our goal of double-digit returns in this segment over the three to five-year horizon. We again increased ROIC to 10.3% versus 9.6% one year ago. We generated $194 million of operating cash flow, another quarter of vast improvement, and through the third quarter, we have already exceeded our original full year cash flow target stated in January, an excellent demonstration of the focus, discipline, accountability and urgency, we have instilled and continue to drive throughout our entire business. And finally, we continue to execute our capital expansions and improvements to plan. Again this quarter, we are selling at most items that we’ve targeted. Currency and unit volumes continue to be a challenge in the short-term, but I am pleased with the following actions we have taken to deliver growth in the long-term that will help provide continued margin expansion. First this month, we officially open the Bemis innovation center in Neenah, Wisconsin. This facility is already becoming a global hub for our customers, a place where we work side by side with them to ideate, innovate and collaborate packaging solutions to provide success and growth to their brands. The innovation center supports long-term growth and we have already had some early wins that have created success for our customers and ourselves. For example, while the facility was still under construction, we hosted a customer at our Innovation Center in February to help solve their packaging needs for a new product. Leveraging our base of innovation, we were able to ideate, develop a prototype and test a self-venting retort standup pouch for their pasta meal in a very short time frame. From ideation to store shelf it took only six months. I am confident that in conjunction with our strong innovation pipeline, our disciplined stage-gate process and our drive and ambition to grow, the innovation center will support success in the years to come. Second, we are executing on our capital plan. Our healthcare expansion project in Wisconsin that will elevate our industry-leading quality and support growth is on track and progressing well. The facility and equipment installations were completed on schedule and in October we successfully achieved CODR [ph] validation and product functional equivalency, which allows us to ship commercial product from the new facility, a great job by our healthcare team. We continue to expect to see margin improvement from this project in 2016. We have a variety of growth and productivity projects that are coming online in the near term and will support both revenue and continued margin improvement in 2016 and the future. We continue to execute our capital projects that will support the growing demand for our high-end packaging used for protein, liquid, and medical applications. We also continue to execute on select capital investments to improve the margin profile in specific end markets where technology and differentiation are not as important to our customers. We are recapitalizing select printing presses, slitters and other converting equipment for our strategic plan with diligence and speed. Third, as I mentioned last quarter, while in its early stages, we have made some changes in our sales and marketing organization in U.S. Packaging to increase urgency toward growth. Rick Michaletz, who many of you met at Investor Day has successfully completed his assignment as President of our European business and has taken on a new roll of Vice President of sales and business development for U.S. Packaging. Rick is an exceptional and proven leader with a strong commercial and operations background and I'm confident that Rick’s leadership of our commercial teams in the U.S. will drive our growth plan as we move forward. I’m pleased with the actions and progress we are making toward growing our business. Turning to the full year, we are bringing down the top end of our EPS range from $2.62 to $2.57 fully on account of currency translation. Mike will cover the details in a bit, but while currency has been a challenge to profits this year, particularly in Latin America, I am very pleased with how our business is performing in local currency. My long term view has not changed. We continue to target EPS growth at 10% plus per year, balanced organic and inorganic revenue growth, operating profit margins at 15% to 18% in U.S. Packaging and 10 plus in Global in the three to five-year window, ROIC in the top quartile of our peer group by 2019, cash from organic operations that exceeds $550 million by 2019. I remain very confident that we will continue to deliver performance improvement towards these long term goals. In summary, we performed well in the quarter. I’m proud of our teams across the globe who are executing our strategy with a renewed sense of urgency and improving all that they do on a daily basis. It is an important time in Bemis history as we continue to transition toward high performance that is reflected in all of our financial metrics. We still have a lot of work to do, but our strategy is right, our resources are aligned and we have the drive and talent to execute our plans. With that I’ll turn things over to Mike for a review of the financials and his comments on the future.
Mike Clauer : Thanks Bill and good morning. As Bill mentioned, we reported adjusted earnings of $0.67 per share, a 9.8% increase compare to the prior third quarter. This includes overcoming a currency translation headwind of approximately $0.06 versus the prior year third quarter, primarily driven by currencies in Latin America with continued value against the dollar. We delivered solid improvement in gross margins at 21.8% versus 20.1% the prior third quarter. This improvement was driven by continued effort in executing our strategy, specifically the favorable impact of productivity and efficiency projects we have executed as part of our capital plan and improved price mix, as we execute our strategy to sell a higher portion of value added sophisticated packages. I will provide comments on each reportable segment, followed by a discussion of total company expenses and performance. First U.S. Packaging; in the third quarter sales dollars in our U.S. segment declined 3.7%. Overall unit volumes were down approximately 3% compared to the prior third quarter. Approximately two-thirds of this unit volume decline was driven by our strategic pricing decision to exit some low margin bottle water overwrap business in the prior periods, and the remainder was driven by a select customer, who lost share with their beverage pouch at the retail level. Aside from volumes, the remaining decline in sales dollars was driven by contractual price reductions to pass through lower raw material cost, which do not have pack operating profits, partially offset by favorable mix in-line with our strategy. Some additional end market details for the quarter, unit volumes in our meat and cheese, dairy and liquid end markets were down slightly. Our analysis indicates there are no drivers out of the ordinary and we continue to be optimistic about volumes in the long term. Mix within these end markets were strong as we continue to gain traction with new product innovation. Everything from our flat film for meat were portion packaging for protein snacks to high end laminations used in liquid applications. With regard to our book growth plans in the U.S. over our strategic horizon, we have completed our normal periodic review of our business plan and continue to expect volumes to return positive in 2016 and future years. We have a good line of side of upcoming product launches for high technology products, our innovation pipeline is strong and we see benefits from our recapitalization of converting equipment that will support retaining current volumes in our less differentiated business. We remain confident and determined in our long-term plan to grow our business. U.S. packaging operating profit return on sales for the third quarter was 14.5% compared to 13.3% in the prior year. Third quarter returns benefited from operational efficiencies, favorable sales mix and continue diligence in controlling costs. Moving to our global packaging segment. In the third quarter global packaging sales decreased 14%. Currency decreased sales by 22.1% as currencies in Latin America and the lesser extent Europe could be valued against the U.S. dollar. Excluding currencies, global packaging delivered total organic growth of 8.1%, which included a 2% increase in unit volumes in addition to a favorable price mix. Before commenting on the various regions of our global business, I will cover returns in our global packaging segment, another very profitable quarter. Adjusted global operating profit return on sales for the third quarter of 9.7% compares with 8.6% for the prior third quarter. High returns in global packaging were a result of strong operational performance throughout all regions and improved price mix from sales of meat, cheese, dairy and liquid packaging. Currency negatively impacted operating profits by $8.8 million this quarter or about $0.06 related primarily to the translation of profits in Brazil to the U.S. dollars, compared to the prior third quarter. Through three quarters, currency translation has trimmed 17.5% from our profits versus the prior year or approximately $0.12 of total company earnings per share. Well currency has certainly been a challenge, we are very pleased with the performance of our global businesses in local currency. We are improving returns, growing sales in our targeted end markets and demonstrating urgency and discipline in all areas. Some regional details. In Latin America, while the environment is tough for some industries, our business continues to do well. Our teams are doing an excellent job of passing through inflationary cost. While overall unit volumes were flat to slightly down during the quarter, we are executing on our strategy some more value-added products, particularly to our meat and cheese and dairy and liquid end markets where volumes were very strong this quarter. In Europe, where our business is focused on meat and cheese packaging, unit volumes were up mid-single-digits, again in line with our strategy to grow these value-added products. In Asia-Pacific, unit volumes were also up mid-single-digits. This growth was in a variety of areas including meat, which we strategically target in Asia. We continue to see our customers expanding their use of meat packaging and the reach to applications that were formally sold in open air markets and had never before than packaged. Our global healthcare business is performing well. Overall unit volumes were flat during the quarter with particular strength in the U.S. and Europe offset by softer consumption in Latin America and timing of orders in Asia. Our healthcare business is strong and continues to be an integral part of our growth strategy. Now on to Bemis consolidated results. Total Bemis Company SG&A expense was $101.8 million, down from the prior year. We continue to be focused on implementing discipline and accountability to keep SG&A dollars flat over a long-term strategic horizon. Research and development expense for the quarter was $11 million, approximately flat with the prior year. We expect to continue at this level to support new product innovation and commercialization. The income tax rate for the third quarter was 33.6%, in line with our expectations for the full year ’15. Year-to-date cash from operations has increased to $412 million, compared to $192 million the prior year. We have exceeded our original plan of $400 million plus for the entire year within the first three quarters. As you may recall, we established a target early this year to reduce working capital percent of sales to 14% range by the end of 2016, which equates to taking out approximately $140 million of working capital. While our original 2015 cash flow guidance assumed that working capital will not be a source during the year, we began executing to improve payment terms with our vendors to industry standard levels during the third quarter and started realizing significant benefits. We also recognized that cash flow benefited by $20 million to $25 million from the mathematical flow through of lower raw material cost. We are updating our full year 2015 guidance for cash from operations to $500 million plus. We will continue with focus, discipline and urgency to deliver continued success and generating cash. Capital expenditures were approximately $148 million through the first threes quarter this year as compared to $113 million last year and in line with our expectations. We continue to expect 2015 capital expenditures between $200 million and $215 million to support growth and productivity projects in our pipeline. Touching on our leverage metrics, net debt to adjusted EBITDA at the end of third quarter was 2.1 times within our expected range. We will continue to generate strong cash flow, invest capital wisely and not accumulate cash. Our priorities continue to be to support our dividend program and invest in capital projects and fund strategic acquisitions or share repurchases. During the third quarter, we repurchased 0.5 million shares for a total of $20.9 million. At September 30, the remaining Board authorization for share repurchase was 4.4 million shares. Turning to the full year outlook, as Bill mentioned, we are narrowing our adjusted EPS for 2015 to the range of $2.52 to $2.57, fully on account of currency translation. While currency and volume have challenges, this year we are still maintaining the low-end of our guidance. Since our earnings call in July, currencies, particularly the Brazil real have moved unfavorably, creating an additional headwind of approximately $0.05 in the back half for the year versus our guidance shared at the end of the second quarter. In relation to the EPS range of $2.52 to $2.57, where we are in the range will depend on further movement of currencies and volumes in our business. Fourth quarter is seasonally light quarter for us. Without a meaningful improvement in unit volumes I anticipate that we would be toward the lower end of the EPS range. We will continue to focus on the things we can control to deliver earnings. In summary, I remain confident in our business in our ability to further improve financial performance to create long term shareholder value. With that we will turn the call over for questions.
Operator: [Operator Instructions]. We ask that you ask one question and one follow-up question, we will release you after your follow-up at which point you can re-queue to get back into the question queue. Our first question comes from Ghansham Panjabi from Robert W. Baird & Company. Please go ahead.
Mehul Dalia: It's actually Mehul Dalia sitting in for Ghansham. Can you quantify the benefit from lower raw material cost during 3Q on EBIT margin?
Mike Clauer : On EBIT margins it was very minimal. As you guys all know, we’ve done a really good job of taken the volatility out of passing through changing input cost.
Mehul Dalia: Great and thanks for the commentary about the improvements you are making in the U.S. Do you know that when should we expect to see some sort of inflection in North America volume?
Mike Clauer : As I said in my remarks, we are still -- our view hasn’t changed. We viewed 10% EPS growth in 2016 and we see that volumes will increase in North America to the 2% range where we've targeted in our Investor Day 2016. That's why we made some of the changes in our commercial team.
Operator: And our next question comes from George Staphos from Bank of America. Please go ahead.
George Staphos: I want to hear you back a little bit on that last comment Bill in the question. So you did this review. It sounded like of your markets and products, could you provide a little bit more clarity in terms of what that review told you about the long term volume outlook and why you should be confident and if you're confident, whether you need to change management. And then second question I had, can you parse for us what the mix benefit was? Obviously price mix was down, because the resin passed through but what was mix up in the quarter, if you can share that? Thank you.
Bill Austen: George this is Bill. I will take the volume side of that. Yes, we gone through, a good review of our innovation pipeline in the productivity projects that we have slated based on our capital spending and we feel very comfortable with what we’ve targeted for 2016, the 2% growth in North America. We filtered with that based on the innovation and the productivity improvements that we have slated.
George Staphos: And touching on your margin, when I think about the margin improvement for the company about half of it came from productivity and efficiency and that would have been heavier in U.S. Packaging, and about half of it was innovation mix which would have been heavier in Global Packaging?
Operator: And we’ll take our next question from Scott Gaffner from Barclays. Please go ahead.
Scott Gaffner: Thanks. My question is really around Mike just mentioned the margin improvement and at least in the quarter of 50% productivity, 50% innovation. If I look at sort of our model here, you have got about 120 basis points of margin improvement 2015. What would keep you from getting another 120 basis points of margin improvement in 2016, or maybe it's achievable?
Mike Clauer : At this point, it's a steady build. I think we’re doing a little bit better in ‘15 than we would have anticipated in our five-year plan. But again I’m not going to -- I don't think I’m going to -- we’re going to sign up for 120% improvement right now. But we do still feel confident we’re going to be improving as we move towards our long term goal. So 15 to 18 in U.S. Packaging and plus 10% in Global.
Scott Gaffner: Sure, but even just conceptually, as we move into 2016, has that productivity come down and innovation, it sounds like Bill you are saying innovation goes up. How should we think about the mix there?
Bill Austen: Scott, this is Bill. We looked the next this year. It’s a 50-50 split between innovation and productivity and efficiency, because we’ve got the lower hanging fruit on the productivity side. You see that earlier. We’ll continue to get that productivity from projects we’ve installed this year, because they'll lap themselves somewhere in 2016. But we have good site to more productivity projects that as you recall from last quarter we pull capital forward to drive sooner productivity gains into 2016. So we’ll continue on that pace and then the innovation will start to kick in even greater than it has now. So it's still going to be that 50-50, 60-40 kind of a split in that range between innovation and productivity. So we’re comfortable and we have good line of sight.
Operator: And our next question comes from Chip Dillon from Vertical Research Partners. Please go ahead.
Chip Dillon: Yes, thank you very much. Just a couple of financial questions to near-term Mike. One is, when you look at the impressive cash flow, thanks for calling out the working capital benefit of the raw materials. Is there also a measurable working capital benefit because of the FX changes, I guess with the financing of receivables down in Brazil? And then secondly can you give us updated view of how you see CapEx in 2016 and 17 based on your current footprint and given that it’s been elevated this year?
Mike Clauer : First of all, I don’t see any big change or any impact on cash flow as a result of FX. We kind of pull that out and look at it without it. And then as far as capital’s concern, as we said on Investor Day and it still holds through, we’re still going to be that $200 million to $215 million in '16 and maybe '17 and then after that we should start seeing a decline other than any potential acquisitions and how that might change our capital requirements on adding more revenue and assets to our business.
Operator: And our next question comes from Anthony Pettinari from Citibank. Please go ahead.
Anthony Pettinari : I just had a question on the global business since specifically Brazil. You indicated you’re pretty happy with how those businesses are performing on a same currency basis. In Brazil, meat production is down pretty sharply year-over-year. I was just wondering if you could give a little color on how your business is performing in Brazil and maybe overcoming some of those headwinds?
Bill Austen: Yes, thanks Anthony. This is Bill. As we said, we’re very happy with the performance of our business in Brazil. And if you look at what we do, as we make packaging for products that people use every day, two years ago, we made some investments in some technology in Brazil to bring down some proprietary meat films, protein films for that market to start to change the market away from what locally produced films are all about, to bring down Bemis innovation in terms of ISO. We’ve been gaining share with that technology from locally produced film. So whether meat film is now -- we were not big in that market prior. Now we’re big in that market because we’re gaining share from locally produce suppliers. So that’s a good thing for us and we see that continuing as we -- at capacity utilization on that line continues to increase.
Anthony Pettinari : And then just switching back to the U.S., the capitalization of kind of lower margin converting assets, when is that process completed?
Bill Austen: Probably '17, and honestly it’ll never be completed. What we’re doing right now is probably catching up for underspending from 2010 through '13 as the Company was a lot more focused on integrating that large acquisition. So what you’re seeing right now is a catch-up, but we will -- it’s going to become part of -- it is become part of our DNA that we will always be capitalizing assets going into the future.
Operator: And we’ll take our next question from Philip Ng from Jefferies. Please go ahead.
Philip Ng: Hey guys. With the share loss lapping next year in North America for some of your commodity business, comps obviously get a lot easier in 2016. To the 2% growth target you have for North America, how much of that is driven by new products and maybe some of the benefits from the recapitalization of assets? And are you assuming any recovery in packaged fruit demand for the bottom market overall? Thanks.
Bill Austen: At this point, we are not anticipating any recovery. We’re going to work off the assumptions that consumption in the U.S. is flat to slightly down. We have no reasons to think otherwise. So I think more of the growth is going to really be coming from the innovation side of our packaging. Hope that answers your question.
Operator: And our next question comes from Chris Manuel from Wells Fargo. Please go ahead.
Chris Manuel: I wanted to kind of focus for a second on the global business if I could or the global packaging component. Again made great progress there, already kind of upper nine as far as margin percentage and close target. Is there anything that could happen that you'd foresee over the next few quarters that might kind of go backwards a little bit? Or seemingly you're pretty far down the path of exceeding some of those goals or how would you think about maybe raising the bar a bit further. How do you balance that Bill?
Bill Austen: Look, Chris, I don't see anything that's going to change where we are over the next couple of quarters. And we’ve always said 10 plus. So we’re not going to back off on 10 and then stop. We’re going to continue to drive for 10 plus, and our business teams know that. We're continuing to put innovation into all of the regions of the world. We’ve got assets going into Europe right now that continue to drive their improvements, that have been significant for us over the last year or so. Same thing in Latin America. We're going to continue to invest there to continue to drive innovation and bring new packaging technologies to those regions to continue the change the mix and up-scale the mix that we’ve always been focused on. And same thing in medical. That medical facility in Wisconsin is now up and running. Its validated and qualified. So we can ship commercial product from there and we're still focused on that 200 basis points improvement in the medical business next year that we’ve stated right from the start. So we’re going to continue to push that beyond 10.
Chris Manuel: Okay. And then the second question kind of centers around capital allocation, and a particular -- some of the working capital and progress you are making what you might do with some of this, but on first element of this, Mike you had talked about $140 million of working capital opportunity from your reduction program. I don't think that was inclusive of the 25 you've got from raw material. So can we kind of think of that total bar as maybe 165? And then second part of this is what your intentions are to kind of the near term to do with it. It looks like share repurchase kind of slowed a bit. Are you seeing anything in the M&A markets that get you excited or how might you think about uses of cash over the balance of the year?
Bill Austen: First of all, I answer your question, it's more important is it that when we made the statement about $140 million, it's really more about getting ourselves to that 14% primary working capital percentage in that sales. We kind of ended Q3 -- we were just south of 16%. So we’ve made some pretty nice progress, and we’ll continue to make progress as we drive to get to that level. So I think that answers your first question. As far as second question on the M&A side, we do have [indiscernible] right now. The positive side is there seems to be no road blocks at this point in time. It's now just a question of when we get approval on the process. So that would be potentially a use of cash in the fourth quarter, but of course I've said it before. We’re not going to delever. So we're going to use the stock, either do an acquisition or buyback stock, and the way I’m looking at it right now, we'll react to the timing of M-plow [ph] as we know a little bit better.
Operator: And our next question comes from Mark Wilde of Bank of Montreal. Please go ahead.
Mark Wilde: Bill I wondered if either you or Mike could just give us a little update on what you are seeing in terms of the M&A market right now? I know acquisitions are an important element in your overall growth targets?
Bill Austen: Yes, Mark, we do have them M-plow [ph] there. We're pretty far down the road on developing our strategy, which included working with all the business units to identify the type of companies we want to own in the regions and geographies. As I said before, we like to think we can start moving the revenue ball from 70-30 to 50-50 global. So we’re going to be thinking and looking in Latin America and the western side of the continent that we really don't participate in per say. In Europe clearly looking at eastern and central Europe as a priority, healthcare anywhere, and we’ve got things percolating is a better term for it. Again like we’ve said, we really don't want to be in processes. The multiples are pretty high right now. What we’re trying to do is find organizations that we want to own and get to know the ownership family, if its private and see if we can strike up a conversation about helping them with their succession plan or exit strategy. So I would say it's going quite well, Mark.
Mark Wilde: Okay and then Mike, if I could just as a follow-on to that, just from what you’ve said, it doesn’t sound like the strength in the dollar, the weakness in some of these emerging market currencies, this is really going to change your pace or your strategy in terms of looking at acquisitions. Is that right?
Bill Austen: That is correct. But the other side of it though as we -- in some of these emerging markets, it's also looking at countries that have higher growth rates. You look at eastern, central Europe, those growth rates in the food categories are 5% plus type growth into the foreseeable future. And we just feel that would be -- other drivers is that -- we’re targeting countries where geographies that are going to grow a lot faster than a U.S. economy is.
Operator: And we’ll take our next question from Adam Josephson from KeyBanc. Please go ahead.
Adam Josephson: Mike, one more on capital allocation. How would you compare the attractiveness of buybacks and M&A at the moment, particularly given what you just said about multiples being rather high?
Mike Clauer: Our objective right now is we want to be able to get a 15% return on invested capital on an acquisition. And as you guys -- anybody knows, that's not an easy task, when you're paying 9, 10 times EBITDA for an acquisition. So we’re very balanced on the attractiveness of an acquisition. We have got to be very confident that we’ve got the synergies, be it cost take outs, consolidations, SG&A take outs or revenue synergies to make that investment versus a share repurchase.
Adam Josephson: Thanks Mike, and just one on the flat film line that you’ve been building. I know its early days, but can you give us any sense as to what volume and/or revenue contribution you might expect from those lines next year and as well as what kind of capital you’ve put into those lines and are planning to put into those lines?
Mike Clauer: Adam, we’ve got three lines in. Okay we line in Swansea wales. We have a line in Pauls Valley, and we have a line going in here into Wisconsin. That's what we’ve invested in thus far. We have two others on the back burner, that we have not yet pulled the trigger on. We are linked with a customer and their ramp-up in the use of that flat film, and at this point that's all I will say about that flat film market and where we see that headed.
Operator: [Operator Instructions] We’ll take a question from George Staphos from Bank of America. Please go ahead.
George Staphos: Just want to follow-up on our earlier discussion on volumes and the outlook. So -- recognizing that you are confident of volume outlook bill for next year in U.S. Packaging, I was curious again, what your review kind of revealed in terms of why you should be confident in the outlook on volumes and some of the organizational changes that you made, how does that help you? So that's question number one. Question number two, just more of a housekeeping question. If I look at the P&L versus the segment reporting and the restructuring and other item, I think it's like $4.6 million in P&L it's something under $10 million in the segment. Just what caused that variance Mike? Thank you.
Mike Clauer: George, what gives us the confidence in the volume is the pipeline. We do an exhaustive review of the global pipeline, not just of the U.S. Packaging pipeline of where the projects stand in the stage gate process. Are they a P1 or are they a P4? Are risks retired, are risks not retired? And as we look at that, when those projects are going to be completed, and if you go back to our whole premise around our stage gate process, it starts and ends with a customer. So we don't develop unless as a customer tied to it all the way through. We feel very good about that and very good about what’s going to launched in the upcoming months and quarters. Not just in U.S. but also global.
Bill Austen: And as to your question on restructuring, there is really three elements of the restructuring this quarter. $1.4 million associated with facility closure in the medical division and about a $0.5 million associated with acquisition related cost on M-Plow [ph]. Those are included in the segment. There is a $2.7 million charge that was not included in segment and reported as corporate and that's for identification, obligation related to a past acquisition. It's a one-time non-recurring charge.
Operator: And we’ll take our next question from Scott Gaffner of Barclays. Please go ahead.
Scott Gaffner: Mike, just quick question on the CapEx spend for 2015. As you sort of move through the year, sounds like innovation spending maybe has moved more towards 2016 and some of the cost reduction on the existing business is taken over. Has there been any shift in the mix on CapEx innovation versus cost reduction on some of the existing business?
Mike Clauer: There is really been no shift. If you think about how to think about it, about $60 million of our spend is environmental health and maintenance and I would say it's 50-50 split above there between innovation and recapitalization. Recapitalization is heavier in U.S. Packaging. Just from the standpoint that's where the assets really need to be recapitalized. And as Bill kind of pointed out, a big part of our global strategy is the migration of capabilities and higher barrier products from the U.S. to those emerging markets as packaging sophistication increases.
Scott Gaffner: Okay. And just on the working capital if I recall correct 4Q of last year, there was some noted confusion as to why working capital built the way it did. Obviously you made some change in the payment terms to get towards industry standards, but have you figured out -- it seems like you have the -- what the issue was with working capital within the last year? Just trying to figure out how of much this is just a recapture of that issue versus some of these better payment terms?
Mike Clauer: I think we figured out, we -- first of all Scott, I just don't think we’re -- we were really focused on cash flow and we’re now focused on cash flow. Last year in Q4 the number was $56 million. As we've given you the guidance, I would expect that to be $90 million plus next year. So we will continue to get improvements. And we’ll continue into ’16. I think we've made a lot of progress on terms with suppliers. We’ve done a good job with the big ones, and now as we go in the Q4 and Q1, we’re focused on kind of the next tier of vendors to kind of get those terms improved. From an inventory side, I think we’ve done a nice job of getting inventory back to what we want it to be, but clearly the big progress still going to be linked to our rollout of supply chain optimization management and demand forecasting, which those investments are being made right now and I would expect that to start realizing second half of ’16 into ’17 when we complete our ERP implementation in U.S. packaging.
Operator: And we’ll take our next question from Alex Ovshey from Goldman Sachs. Please go ahead.
Alex Ovshey: Just one for you. The lower resin price environment, is that having any positive or negative impact on the competitive dynamics in the business?
Mike Clauer: No.
Operator: [Operator Instructions] We’ll take another question from Adam Josephson. Your line is open.
Adam Josephson: Thanks a lot and thanks for taking my follow-up. Mike one more on working capital. It’s been a $95 million source year-to-date. Assuming it ends up being a $150 million, which is exactly what the drag was last year, you’d be a 550 of operating cash flow this year, which is your 2019 target if I’m not mistaken. Is there any reason to think that the long-term target is particularly conservative?
Mike Clauer : No. First of all, I don’t think, I wouldn’t read anything into it -- it’s going to be 550. We’re just get back to normalized. When Bill makes that 550 comment, think about it, our EBITDA will have grown substantially as a contribution to that. So I would think in terms of -- we’re targeting get to primary working capital to be 14% of net sales and then the additional growth will come from our improvements in EBITDA as we continue to drive our performance.
Operator: And currently, there are no further questions in the queue.
Erin Winters: Thank you, Destiny. Thank you all for joining us today. This concludes our conference call.